Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2013 Ctrip.com International Earnings Conference Call. My name is Diamond, I’ll be the operator for today. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session. (Operator Instructions). I would now like to turn the conference over to your host for today Ms. Michelle Qi, IR Manager. Ma’am, please proceed.
Michelle Qi: Thank you, Diamond. Thank you all for attending Ctrip’s first quarter 2013 earnings conference call. Joining me on the call today we have Mr. James Liang, Chairman of the Board and Chief Executive Officer; Mr. Min Fan, Vice Chairman of the Board and President; Ms. Jane Sun, Chief Operating Officer; and Ms. Jenny Wu, Chief Financial Officer. We may during this call discuss our future outlook and the performance, which are forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of the potential risks and uncertainties are outlined in Ctrip’s public filings with the Securities and Exchange Commission. Ctrip does not undertake any obligation to update any forward-looking statements except as required under applicable law. Jim, me, Jane, and Jenny will share our strategy and business updates, operating highlights, and financial performance for the first quarter of 2013, as well as the outlook for the second quarter of 2013. We will also have a Q&A session towards the end of this call. With that, I would turn to Jim for our strategy and business update.
James Liang: Thanks, Michele. Thanks, everyone for joining us on the call today. We are glad to report strong results delivered in the first quarter of 2013. Net revenues grew by 27% year-over-year mainly driven by strong volume growth. In the first quarter, hotel room nights grew 41% year-over-year and air ticketing volume grew by 27% year-over-year. Boosted by the booming leisure travel segment and the rising popularity of smartphones, China’s travel industry is reaching a new stage of secular growth. The Ctrip team is actively penetrating the leisure travel market and working hard to embrace new opportunities. Our core strategy remains to build a one-stop shop travel platform with the best product, best services, and best prices. To optimize user experience, we made considerable investments in mobile interfaces and backend IT infrastructure. By the end of the first quarter, over 50% transactions were booked through online and mobile channels. We are determined to build the best mobile travel platform. Consumers are spending more time with mobile internet. This is a great opportunity for Ctrip to build new direct access to customers and to serve customers with more dynamic product offerings through mobile channels. By leveraging our trusted brand, large and loyal use base, comprehensive products and superior services, we’re confident that Ctrip is in a best position to expand our leadership to mobile internet. Ctrip’s mobile platform is deeply integrated with online and off-line transaction platforms. Meanwhile, we actively adopt innovative technologies like voice recognition and location based services. We aim to create most convenient experience for travelers on the move. We are happy to see the positive feedback from our customers. By the end of the first quarter, we have over 30 million downloads for our mobile apps across all major mobile operating systems. Our mobile platform accounted for about 15% of the hotel transaction in the first quarter and recently reached 10% of our air ticketing transaction. To provide our customers with the best product offering, we constantly increase the scope and the depth of our services. Our product team work very closely with the industry partners to develop a full range of solutions to meet travelers’ expectations. Many of our new products like Smart Choice hotels, location, rental, accommodation and international hotel air ticketing have gained strong momentum. To ensure our customers can enjoy the most competitive price on ticket platforms, we spare no effort to explore different approaches. Besides matching competitors on offerings, coupons or discount, we’re working hard to improve the operational efficiencies and translate it in to better prices and to generate a unique package products by leveraging our broad product offerings and supply network. We believe these are key drivers for achieving sustainable price advantages. We have really expanded our sales and marketing channels especially online ones to reach customers. We will continue to expand our sales marketing to enhance our brand awareness and gain more customers. We’re committed to build the best one-stop shop travel platform with comprehensive product, industry leading service quality, and competitive prices. Working with a dedicated and diligent team of Ctrip, I’m confident that Ctrip will continue to achieve solid and sustainable growth in the coming years. With that, I will turn to Min for the highlights, the industry trends and the investment opportunities.
Min Fan: Thanks, James. Thanks everyone. At James remark only, China’s leading travel development is currently entering into a sweet spot of growth. Searching legal travel demand are creating great opportunities for travel industry players. I’m very excited about the potential strategic investment opportunities that Ctrip may explore. We are proactively looking for opportunities that could expand Ctrip’s business to a new travel related segments or expand our business to a new reach with great potentials. Meanwhile, we will always take a prudent approach for making the move. This is just the beginning of our new journey. We are eager to work with our partners and best of travelers within China and around the world. With that, I will turn to Jane for operating highlights.
Jane Sun: Thanks, James and Min. Thanks to everyone. We are very pleased with the development of Ctrip’s major business lines. Ctrip further expanded its hotel coverage. By the end of the first quarter, our domestic hotel supply network covered around 53,900 domestic hotels compared to around 30,900 hotels a year ago. Our international hotel network further extended to about 230,000 hotels. We achieved strong volume growth of 41% year-on-year in the first quarter of 2013, driven by both business and a leisure travel demand. Our new hotel products, such as Smart Choice and Smart hotels more than doubled inside, compared to a year ago. International hotels also delivered triple digit growth in the first quarter. Air ticketing business kept strong momentum in the first quarter, more than doubling the industry’s average growth rate. We continue to execute our proactive pricing strategy in 2013. In late February, we launched our air ticketing coupon program, we’re encouraged by the positive effects on the new customer acquisition and online migration. In the first quarter, over 45% of air ticketing transactions were from online channels. Starting from April, we expanded our coverage of air ticketing coupon program. And it is well on its way to meet our expectations. Our package tour business once again reported strong growth in the first quarter of 2013. The revenue from mainly in China grew over 50% year-over-year. Luxury travel brand HHTravel launched its fourth deluxe global tour and set a new record this year. All the seats were sold within 15 seconds at R&D at $1.18 million per person. We see young travelers showing an increasing interest in DIY tour packages. We’re confident that we’re leading the market in the segment. We believe the core competence for providing dynamic package is a strong capability to standardize and repackaging individual travel element. This is an area where Ctrip excels. Last month, Ctrip launched a new platform for local activity ticket. This further expanded our service scope as a one-stop travel platform. Eygpt’s corporate travel service maintained steady growth and gain market share in the first quarter. To better cater the corporate clients travel management needs, the corporate travel team is executing it’s four effort to improve its product, price and processes. We see good potential as more Chinese company proactively manage their travel expenses. Our train ticket now covered the railway products for all out operation in China. Additionally, euro trend is also offered to our customers. A new channel quickly gained rate interest from leisure travels. We will enrich this channel with more dynamic same plus ex products and improve cross sale. We will continue to expand the scope of our one-stop travel platform. We hope every traveler for leisure or for business, can butte, shift, and her ideal trip with Ctrip and enjoy the best price and services. 2013 is an exciting year for us. We will continue to work diligently to bring the best value to our customers and our partners. Now, I’ll turn to Jenny for financial highlights.
Jenny Wu: Thanks, Jane. Thanks to everyone. For the first quarter of 2013, Ctrip’s total revenues were RMB1.2 billion, up 27% year-on-year and 5% Q-on-Q. Hotel reservation revenues were RMB451 million, up 23% year-on-year, mainly driven by an increase of 41% in hotel reservation volumes and partially offset by a decrease of 13% in commission per room night. The decrease of commission per room night was primarily due to promotional activities. Hotel reservation revenues decreased by 4% Q-on-Q. Air ticketing revenues were RMB457 million, up 27% year-on-year primarily driven by an increase of 27% in air ticketing sales volume. Air ticketing revenues increased by 2% Q-on-Q. Packaged tours, revenues were RMB235 million, up 41% year-on-year and 42% Q-on-Q, due to the increase of leisure travel volume. Corporate travel revenues were RMB51 million, up 31% year-on-year due to increased corporate travel demand from business activities. Corporate travel revenues decreased by 11% Q-on-Q primarily due to seasonality. Net revenues were RMB1.2 billion up 27% year-on-year and a 5% Q-on-Q. Gross margin was 74% versus 75% a year ago and stayed flattish Q-on-Q. Product development expenses increased 36% year-on-year and 1% Q-on-Q, primarily due to an increase in product development personnel related expenses and a share with compensation charges. In the following section I will also mention numbers on non-GAAP basis, which means including share based compensation charges. And as for the product development expenses, on a non-GAAP basis they accounted for 20% of net revenue versus 18% a year ago and 21% a quarter ago. Sales and marketing expense increased 46% year-on-year and decreased 5% on Q-on-Q, primarily due to the change in sales and marketing related activities. On a non-GAAP basis sales and marketing expenses accounted for 22% of net revenues versus 19% a year ago and 24% a quarter ago. General expenses increased 25% year-on-year and 6% Q-on-Q, primarily due to an increase in personnel related expenses and share-based compensation charges. On a non-GAAP basis G&A expenses accounted for 80% of the net revenues stay flattish versus a year ago and a quarter ago. Income from operations were RMB160 million down 9% and up 33% Q-on-Q. On a non-GAAP basis, income from operations was RMB272 million down 2% and up 16% Q-on-Q. Operating margin was 14% versus 19% a year ago and 11% a quarter ago. On a non-GAAP basis, operating margin was 23% versus 30% a year ago and 21% a quarter ago. The effective tax rate for the first quarter of 2013 was 32% increased from 28% a year ago and 25% a quarter ago, primarily due to certain non-tax deductible items in PRC subsidiaries. Net income attributed to – attributable to Ctrip’s shareholders was RMB153 million, down 26% year-on-year and 20% Q-on-Q. On a non-GAAP basis, net income attributable to Ctrip shareholders were RMB265 million, down 14% year-on-year and 13% Q-on-Q. Diluted earnings per ADS were RMB1.01 or RMB1.87 on a non-GAAP basis. As of 1Q 2013, the balance of cash and cash equivalent restricted cash and a short-term investment were RMB6.2 billion. For the second quarter of 2013, w e expect net revenue to grow about 15% to 20% and most likely at the high end and this reflect Ctrip count and the primary – preliminary view, which is effective change. With that, operator, we’re opening the line for questions. Thank you.
Operator: (Operator Instructions). Your first question comes from the line of Fei Fang. Please proceed. Goldman Sachs.
Michelle Qi: Hello.
Operator: Your line is open, you may proceed.
Operator: (Operator Instructions).
Fei Fang – Goldman Sachs: Hi, Jane, Jenny, Jade can you hear me?
Jane Sun: Yes.
Fei Fang – Goldman Sachs: Congratulations on the result and thanks for taking my question. My first question is on the growth outlook for the rest of 2013 and also beyond. How would you quantify the incremental contribution from say mobile reservations and outbound travel for the rest of the year given that we’ve seen rapid volume growth from this area? Thank you.
Min Fan: Thanks, Fei. I think the mobile and also outbound represent two fast growing segments in our business line. Mobile right now accounts for about 10% to 15% of the total volume. THE industry data has shown that in the near future mobile contribution to the overall online transaction can be even more than 50%. So the growth in this segment excel compare to the other segment. Secondly for the outbound travel, right now the industry data shows outbound travel is putting very strong particularly for Ctrip customer because we target at high-end, middle-end customers. These are the customers who can afford one to two trips abroad. So, if the industry data shows it’s more than 10% growth every year for avid travelers and also the visa restrictions for the segment are being lifted. That also help us to gain momentum. For Ctrip, I think the two sediments you mentioned will be much higher than the average growth for the whole company, but in terms of a pin down to the dollar amount, I think we need some time to give a more concrete guidance, but overall I think in terms of a percentage of contribution and also growth rate, it will take strong momentum for the rest of the year.
Fei Fang – Goldman Sachs: Great. Thanks, Jane. That’s very helpful. Second question is on sales and marketing, James mentioned in the press release that Ctrip is committed to enhanced marketing effectiveness. So, I’m wondering if management can elaborate on the main sales and marketing channels that Ctrip is currently using and how would you assess their relative effectiveness? Thank you.
Min Fan: Okay. Yes, Ctrip will continue to invest heavily in the online marketing channels including search engines, business alliances with different websites. And also Ctrip will continue to invest heavily on the brand awareness. So, brand making type of marketing and more kind of direct mailing or direct sales tax, direct marketing channels. I’m not sure if that answers your question.
Fei Fang – Goldman Sachs: Yes. It does. Thank you very much and congratulations again.
James Liang: Thanks.
Operator: Your next question comes from the line of Philip Wan, Morgan Stanley. Please proceed.
Philip Wan – Morgan Stanley: Hi. Good morning. Thanks for taking my question.
James Liang: Sure.
Philip Wan – Morgan Stanley: And congratulations on the very strong results. First of all.
James Liang: Thank you.
Philip Wan – Morgan Stanley: Yeah. Thank you. Could you please comment on the travel activities going into the second quarter, in particular have you seen any impact from the bird flu and earthquake? That’s my first question.
James Liang: Yeah. First of all I think we still feel that the travel market is growing healthily and our forecast reflects our confidence in the segment. However, in the travel business, every year we have unexpected events, such as earthquake in Sichuan or bird flu in the country and what happened particularly in Asia, these all have impacts on specific region. We will monitor it very carefully, however so far the impact is reflected in our guidance and actual results already.
Philip Wan – Morgan Stanley: Thank you. And then on my second question is could you please comment or give us some update about your competitive environment in China’s travel market, in particular we experience some price war in hotel bookings in late last year. How has been – it been evolved and what is your coupon strategy for hotel booking specifically? Thank you.
James Liang: Yes, given the segment, it’s a very attractive and very fast growing. There is lot more competitors than a few years ago. So, there are existing competitors like China, and there are new competitors mostly international players that set bookings and they go to – so, and quite few of them are offering aggressive price discount or coupons and our strategy is actually to match their discounts or coupons. And we believe our customer experience and brand awareness and our relationship with the suppliers will allow us to be able to compete even with all these discounts and still be able to maintain healthy margin and fast growth rate.
Philip Wan – Morgan Stanley: Okay. A very quick follow-up on specifically for the hotel coupon in the mix maybe one or two products, do you expect to see the coupon cost as a percentage of hotel revenue continue to scale down as we see the trend has been stabilized in the past two quarters. Thank you.
James Liang: Philip I think the coupon strategy is always the same which is we match the coupon by – in a market practice. And so far, it’s very stabilized. So, our goal is to make sure our market share gain momentum. It’s kept up while preserve a healthy revenue growth. And so far we have achieved both.
Philip Wan – Morgan Stanley: Thank you. That’s very helpful.
James Liang: Thanks.
Operator: Your next question comes from the line of Jiong Shao, Macquarie. Please proceed.
Jiong Shao – Macquarie: Thank you very much fort taking my questions. And great results. Congrats. I have two questions as well, first as you always have done in the past, could you please give us your segment guidance in terms of revenue and income and revenue growth. And secondly, just on the margins and your airline coupon program because Q1 usually the seasonally weaker quarter for you and now you just did a great job on your operating margins at a 23% non-GAAP. So how should we think about that, is that sort of the bottom for the near term, but on the other hand your airline coupon really kicking in a Q2 for the full fourth quarter, could you also remind us what’s your expectation in terms of the potential impact on your margins from having a full quarter of airline coupon in Q2. Thank you very much.
James Liang: Thank you for your questions. On the guidance for the hotel we expect total revenue growth to grow 15% to 20% driven by 25% to 35% of volume growth and the price average price will decline by 5% and promotional activities will trim the growth by 5% to 10% and the nominal commission rate probably will stay flattish. And for the air ticketing the total revenue will grow 15% to20% mainly driven by the volume growth opportunity to 25% and the pricing also will decline by 5% probably, and commission rate and air coupon impact were largely flattish in terms of growth, growth impact. And for the packaged tour, the total revenue growth will be 25% to 30%, continue to driven by the strong growth from the Mainland China business, and for the corporate travel the growth were again around 15% to 20%. So, as we mentioned before for the company, the total net revenue may grow 15% to 20% towards a high-end. And for the air coupon impact, yes, we received a very positive feedback in the first stage of air coupon and we extended it to the more flight and more planes and we will continue to methodically to monitor the impact. And for the second quarter an overall rate expected operating margin, non-GAAP basis will be largely flattish Q-on-Q, and this is still the case and we will continue to put the gain market share as our top priority, and we will decisively invest in the key strategic areas like mobile internet, and like to continue to enhance our IT infrastructure. And to make sure our customer can get the best price, best product, and the best services from Ctrip. In the meanwhile as you know, Ctrip team, we are working very hard and very disciplined. We continue to improve our operation efficiency and will conduct very tight cost control to avoid risking any penny and hopefully you see the strong margin performance in 1Q partially reflect our efforts and we will continue to try our best. Thank you.
Jiong Shao – Macquarie: Thanks, Jane. I just want a follow up with something that you just said. I think you said, the impact from air coupon in Q2 is flat. What, sorry – what did you mean by that exactly. Could you elaborate, what do you mean because Q1 you didn’t really have much impact from air couponing, given your launch air coupon, I think post Chinese New Year.
Jenny Wu: Sure. We will continue to meticulously monitor the impacts from air couponing, we wanted to make sure our customer can get the best price from Ctrip and also very well – to make sure we can have the best ROI from every marketing tour. And so for air couponing, indeed we have the weeks out its coverage and we also have some special promotion for people booking on mobile internet, mobile apps. But overall so far what do I feel is the air couponing impact is still manageable and in 1Q, so literally no match impact and in second quarter, we consider we can still managed very well. Thank you.
Jiong Shao – Macquarie: All right. Thank you very much. Very helpful.
Jenny Wu: Thanks.
Operator: Your next question comes from the line of Alicia Yap from Barclays. Please proceed.
Alicia Yap – Barclays: Hi. Good morning everyone. Thanks for taking my questions. My first question is just wonder if you can give more clarity on your air ticket growth in the first quarter. Was that mainly driven by the volume, was there any pricing impact at all? And then how would you kind of like quantify your effectiveness of the conversion rate for your air coupon discount?
Jenny Wu: In 1Q, the air ticketing revenue growth is increased and by the volume growth. So, volume growth is also about 27% and for the pricing and the commission per unit is flat – is quite flattish on the year-on-year basis. And in 1Q, the air couponing we – it’s basically the first trial state associated. We’ll make sure we can upgrade in a very efficient way, and so far we’re very happy to see as we expected we see the – for the effectively change the way of couponing. We see the strong growth in terms of volume and also with the higher buyouts by the new customers and also input online ratios. This gives us the confidence that we can manage the two very effectively, so we expand into mall city and to cover them in second stage starting around April.
Alicia Yap – Barclays: I see. And then just couple of more housekeeping questions, one is that what was the reason for your higher effective tax rate this quarter and then what should be expecting for second quarter? And for the margins, you mentioned for – you’ve guided for the second quarter, would you have any indication for the full-year? Thank you.
James Liang: Thank you. For the tax rate, we have many subsidiaries and every quarter, each of them they have – and also each subsidiary they’re having different tax rate and every quarter, the revenue contribution from different subsidiaries will vary and that’s why we see them 32% tax – effective tax in 1Q. And for the rest of the year, on our current visibility probably 30% to 32% will be the most likely range. And then secondly for the – sorry what was the question?
Alicia Yap – Barclays: The margins. Margin I think will be flattish.
Jenny Wu: Sorry, I forgot the question. Okay. For the margin guidance, for the full year and you will see that industry is still very dynamic, and as Jane just mentioned, the competition is still very fierce, and we need to closely monitor the industry involvement. And for us, I think the top priority is still to gain market share at the fast speed. And then when we give the guidance, we want to be realistic, so I think going forward we will continue to guide you on the quarterly basis where we have better assessment and hopefully we can continue to try to achieve the best way. Thank you.
Alicia Yap – Barclays: Okay. Great. Thank you. Congratulations.
Jenny Wu: Thanks.
Operator: Your next question comes from the line of Mike Olson from Piper Jaffray. Please proceed. Piper Jaffray.
Mike Olson – Piper Jaffray: Okay. Thanks, good morning. Just a quick question on the guidance. Why are you anticipating a fairly material deceleration in revenue growth in Q2 compared to what you just reported in Q1? You did mention the decline in hotel volume growth, but what factors caused you to anticipate this deceleration in that hotel volume growth?
Jenny Wu: So the guidance as Jane mentioned, we a travel industry by nature can be influenced by many external factors, such as the macro economy condition, the contingent business and also political issues. And especially in second quarter what we say that there is H7N9 flu and also Sichuan earthquake and also some Asia political disputes. And so many things happened and the issue ongoing. And although so far the impact is quite limited, but they’re ongoing, so we need to confidently monitor their impact. And 15% to 20% by this and we usually give this range and but we only give the range we usually have a comfortable (inaudible) is that, the deal they got probably hit the high-end and lead to low end and this time I specifically mentioned it probably was at high end, it already showed certain confidence from the management team.
Mike Olson – Piper Jaffray: Okay. And then as far as mobile, could you tell us what did mobile revenue grow year-over-year and what percent of revenue came through mobile bookings in Q1?
James Liang: Mobile revenue as we discussed has been growing as one of the fastest segment in the business. Right now, it’s about 15% for hotel and 10% for air ticking. A year ago it’s very small single digits. So it’s growing very quickly.
Mike Olson – Piper Jaffray: Okay. Thank you very much.
James Liang: Sure.
Operator: Your next question comes from the line of Eddie Leung, Merrill Lynch. Please proceed.
Eddie Leung – Merrill Lynch: Hi. Good morning guys. Thank you for taking my questions, and congrats on the good quarter. Two questions, the first one is, once again you’re getting back to the first quarter numbers. So in quarter, when you compare on what you guided in the fourth quarter results versus your better than expected results in the first quarter. What actually happened, in which areas surprised you guys on the upside. So that’s my first question and secondly, regarding your mobile channel, I’m curious on where you see the demand coming from are you getting new customers from the mobile channel or is it a channel to basically replace call center or actually cannibalizing your PC booking. So, it would be great if you share some color on that front?
James Liang: So, I would take the first question and Jane will take the second one. And for the better than expected 1Q result, we’re also very happy with that, and I think that’s mainly driven by two factors. Firstly, it is helped a much better than expected industry growth. For example in 1Q, the air industry volume growth in China is about 11% year-on-year and on top three airlines volume growth is about 8%. This is probably the strongest year-on-year performance since second half 2011. When we give the guidance in earlier February we only have the rough estimate based on the industry performance in January, during which period the industry performance is quite modest on year-over-year basis. And the second factor is that and Ctrip team, the 2012 is probably the transitional year for Ctrip and the Ctrip team work very hard. And we spend 14 percentage points margin to reinvent ourselves and successfully upgrade Ctrip to an open one-stop travel platform. The right strategy and exclusion help Ctrip to gain more market share especially in the later travel segment. And going forward we will continue to try our best to incur this achievement and the momentum.
Jenny Wu: And to enter your second part of the question where is the mobile growth coming from? If we look at all the three platforms, including mobile, online and the call center, all three segment for Ctrip are growing very well. I think that’s a very unique competitive advantage feature pass, no matter how old the customers are, no matter where they are, they can chose one out of the three methods to get access to our services. So for mobile the first comes from two segments, one is the new customer acquisition, I think our sales and marketing campaign tailored for mobile users. And also internally we made all the businesses processes and product development very strong to be suitable for the customers who are on the move. So hotel and also destination and ticket, these are all driven by LBS type of services. So the customers feel, it’s very convenient for them to use. So we have seen both new customers are using it and also existing customers depending on where they are, they will use different services. For example if they are at work or in a office, may be the big screen is preferable, but on weekend and leisure time, a mobile is preferable. So that’s another source for the mobile customers. But what’s unique for our – for Ctrip is, if they only have – if they have WiFi, mobile will be very comfortable for them to use. But if even they do not have WiFi, our call center is available as well. So that’s a unique advantage for future to have.
Eddie Leung – Merrill Lynch: Got that. Very helpful. Thank you Jenny and Jane. Thanks.
Jane Sun: Thank you.
Jenny Wu: Thank you.
Operator: The next question comes from the line of Andy Yeung, Oppenheimer. Please proceed.
Andy Yeung – Oppenheimer: Well. Thank you. Congratulations on a great quarter. Thank you for taking my questions. My first question is about your transaction possibly continue. What’s the current trend and percentage of customer completing staff bookings online versus offline in your hotel and air ticketing split?
James Liang: It is over 60% online.
Andy Yeung – Oppenheimer: So both hotel booking and air ticketing.
James Liang: To hotel. And for air ticketing is about 45%.
Andy Yeung – Oppenheimer: 45%. Okay. Great. Thank you. And then, you know your call center has been a valuable asset to your service for your customer, but as we have seen over time you have increasingly having more customer do their transactions through online process especially like I’ve seen in mobile channel? My fourth question is, what’s your view on the longer-term value of your call center operations? Any view on that would be helpful.
James Liang: Call center for Ctrip will still provide great value for a less of it. The customers analysis we have been have shown that customers quite using call center are very high end-users. These people are less price sensitive. So in terms of market, I think the call center volume still generates a very good market. So, it right now is still a very valuable sales platform for our customers.
Andy Yeung – Oppenheimer: I see, I see. Okay, got it. Thank you so much. That’s all my questions.
James Liang: Sure, Tian. Thank you.
Operator: Your next question comes from the line of Fawne Jiang from Brean Capital. Please proceed.
Fawne Jiang – Brean Capital: Good morning. Thank you for taking my questions. First one is actually regarding your margin, it seems like from fourth quarter – the first quarter we see a very healthy quarter-over-quarter margin improvement. Just wonder what are the key factors contributing to the margin improvement. Also I think Jenny mentioned that probably this morning it’s too early to guide the margin for full year 2013. But just wondering whether you could highlight the key factors that could potentially either swing the margin to the upside or potentially put additional pressure on the margin for the full year, that’ll be helpful. Thank you.
James Liang: Sure. Thanks. And for the better margin performance in 1Q, again it’s driven by two factors. Firstly, for Ctrip small though the – by nature banded with certain level of operation leverage and scalability. And the strong top line growth indeed help the margin improvement. And secondly, as I mentioned Ctrip team working hard and they were very disciplined to improve our operation efficiency. And we consistently monitor the investment return on every penny we spent and no matter if it is for the internal operation and for the self marketing and product development. So we’re very happy to see this strong execution and this strong result. And for the full year and the way – as we usually communicated. For the Ctrip if you look at 2012 there are certainly areas that cost the margin erosion such as labor wage inflation and the business and sales marketing and coupon. And so 2013, what we’ll say that, again our top priority is to gain market share at a faster pace. And so we will continue to spend on the strategic areas in order to provide the better price, better product, better service to our customer. So we will continue to stand 2013 as a year of investment. And so for the sales marketing wise and for the product development and IT infrastructure we will continue to invest. And we indeed see some certain leverage from the labor, human capital expenses and we will continue to make sure, we can have the best operation efficiency. And also for the New Year, we see, last year is probably the first year and we see, we spent a quite a lot of money for them, a certain type of apps on the cost to set up a lot of new teams and new project. And we are very happy to see most of them very strong momentum and start to generate decent revenues. And I think over the long loan, most of them they can have the margins and this year is still is the earlier stage of development. And we will make sure, they will ask a strategy and the team leadership. And so I think that’s probably the areas we will see continued margin impact and hopefully we can generate decent leverage from our operation. Thank you.
Fawne Jiang – Brean Capital: Thank you, Jenny, that’s very helpful. Just a follow-up on the margin. Seems like mobile and internet have been growing really fast. Just wondering what’s the overall, like the margin difference your offline versus online versus mobile, domestic versus with international?
James Liang: When you look at the market, there are two elements. The first thing is how much revenue they can bring for each transaction. The second one is how much cost it is associated with. So, if you look at the mobile, the labor cost is very small because it’s automated. However, these customers tend to be young and (inaudible) tend to be a little more limited. On the call center though, although it incurs a little bit more labor cost, but a customer who use this services is very high-end customers, less price sensitive. So, the margin in call center and other platform can be very similar.
Fawne Jiang – Brean Capital: Got it. Thank you, Jane.
James Liang: Sure. Thanks.
Operator: Your next question comes from the line of Ida Yu from CICC. Please proceed.
Ida Yu – CICC: Hi. Good morning.
James Liang: Hi.
Ida Yu – CICC: Hi. Can you hear me?
James Liang: Yeah. Thanks.
Ida Yu – CICC: Good morning everyone. Congratulations for your great quarter.
James Liang: Thank you.
Ida Yu – CICC: I have two questions, my first question is regarding your mobile business. So, can you give us an update on your mobile business or products development so far and what is your main strategy and expected goals that you would like to achieve this year for this mobile strategy – mobile business? And what is the Ctrip competitive advantages to make itself as too as the number one in terms of mobile booking market?
James Liang: Yeah. So, our strategy is to continue to invest heavily in the mobile platform. Our advantages are that we have the broader product offerings that we can bring to the mobile platform. So, we have – compared to our competitors, we have a more complete range of products such as railway – the high-speed railway bookings, such as international air ticket, international packages for passengers So, we – our strategy is to provide a complete product offering on our mobile platform. And I think the other advantage our supply relationship because we have over the years we’ve build up a very strong supplier team. So, with that we can offer some special prices to the special deals, special conventions, mobile – specifically our mobile platform, mobile only promotions. So, that would allow our customers to take advantages of these promotions, just on the mobile platform. That will increase market penetration and increase our growth rates on the mobile platform. While some of that have already asked for that will be cannibalization from other channels, some of our new customers, but they’re also – the third factor that they will increase our loyalty or stickiness’ of our existing customers, even these type of existing customer that they will increase the thickness if we offer a better deals and just as a product, but sometimes they were the better deals on the mobile platform. So, that’s our strategy on the – or the advantages on the mobile platform.
Ida Yu – CICC: Okay. Thank you. That’s very helpful. And my second question is given this higher than expected revenue growth rate, so can you quantify the amount that is contributed by the coupon insurance in Q1 or how do you see this trend going forward?
Jane Sun: Yeah, I think when we set our strategy, because of the travel market is so in the infant stage, its picking off and it’s gaining more momentum. So, our priority obviously is market share gain, and with that priority we will make sure that our margin and the revenue is best protected. So, in a market, we will offer the best price whether through coupon program or through packaged deal. Our customer is entitled to have the best online price in the market, and then internally I think we will also improve our process fees to increase efficiency, which enable us to get back more to our customers. So, that’s our strategy, so market share first with that big umbrella we’ll maximize our revenue in margin.
Ida Yu – CICC: Okay. Thank you very much, Jane.
Jane Sun: Sure. Thanks.
Operator: (Operator Instructions). Your next question comes from the line of Alex Yao from Deutsche Bank. Please proceed.
Alex Yao – Deutsche Bank: Hi, good morning, everyone. And thank you very much for taking my question and congratulations on a great quarter. I have two questions. Number one is, can you guys comment on how you manage the relationship with wholesalers in the market and how do these wholesalers help shape the competitive landscape of online travel market including the OTA and alternative revenue model such as ecommerce and so changing. Number two question is, for the third quarter margin shall we expect the margin to recover to the maybe perhaps inline above last year third quarter level, because the coupon impact on the hotel side will be normalized and moderate impact that will be diminished. Thank you.
James Liang: Sure, so first of all on the wholesale market. Wholesale market is very limited, based on our observation and survey that market represents only less than 5% of the total market. So, we’re talking about various more volume compared to the rest of the market. Secondly for this type of wholesalers I think Ctrip can team up with them by selling package tool and making sure the ecosystem in the hotel market is preserved. And also I think hotels have certain criteria for wholesalers, this price are not supposed to be sold by individually to the end user. So, we support the hotels to make sure the ecosystem for the hotel market is preserved. So that’s on the hotel segment – wholesaler segment. Secondly on your margin question, I think margin is mainly determined by two factors. One is controllable factor, which is depending on our efficiency, our ability to generate revenues. For that I think our team is very disciplined to continuously to improve the processes and make sure our margin can be improved and maximized. The second element is mainly determined by external factors such as competition and uncontrollable events. For that item, again our priority is market share. We will do whatever it takes to gain market share. So, if the competition is very rationale, I think we will maintain certain level of the investment, but if the competition becomes irrational because the travel market is still in the early stage. We will do whatever we can to make sure we give the best price to our consumers to gain market share.
Alex Yao – Deutsche Bank: Thank you very much. That’s very helpful.
James Liang: Thanks.
Operator: The next question comes from the line of Tian Hou from TH Capital. Please proceed.
Tina Chen – TH Capital: Hi, this is Tina Chen calling on behalf of Tian. I just have a quick question. As the competitive landscape and competitors are becoming more sophisticated, what is Ctrip’s thoughts on the cooperation and competition of OTAs and vertical search platforms. And do you have any plans to cooperate with these verticals search platforms? Thank you.
James Liang: Ctrip’s approach has always been very open to work with everybody in the travel market. We monitor each sales channel very carefully, as long as ROI makes sense for us to invest we will consider these channels. So, really it’s driven by ROI calculation.
Tina Chen – TH Capital: Okay. Thank you.
James Liang: Thank you very much.
Operator: Your next question comes from the line of Aaron Kessler from Raymond James. Please proceed.
Aaron Kessler – Raymond James: Yes. Thank you. A couple of questions. First just to clarify, I think you said operating margin for the year flattish, is that in reference to kind of the Q1 levels or is that relative to 2012 levels?
Jenny Wu: For the second quarter’s margin, it may stay flattish Q-on-Q.
Aaron Kessler – Raymond James: And for the full year, I think you said flattish also?
Jenny Wu: We haven’t given the full year guidance yet, and this year we need to continue to invest to increase our market share and the visibility for the rest of the year is limited. So I think it’s better for us to touch base on a quarterly basis where we have better assessment.
Aaron Kessler – Raymond James: Okay. And just a follow-up, can you update us on any share repurchases and then also maybe leisure and business percentage at this point, the mix shift, the mix at this point. Thank you.
Jenny Wu: We spent close to US$300 million to buy back 17.5 million ADRs in the past several months. And so far it’s – in the past quarter we did not execute any and going forward, we still have like US$260 million quota for our future purchase and we will closely monitor the market and execute it accordingly. And for the mix between leisure and versus the business travelers, it’s roughly one third versus two third.
Aaron Kessler – Raymond James: Great. Thank you.
Jenny Wu: Thanks.
Operator: (Operator Instruction). Your next question comes from the line of George Askew from Stifel. Please proceed.
George Askew – Stifel: Yes. Thanks very much and congrats on the strong results.
James Liang: Thank you.
George Askew – Stifel: You added – I just really have one question. You added an impressive – you’ve added an impressive number of domestic hotels year-over-year up 74% by my math. My question is how much of your 41% hotel volume growth and market share gains in the quarter that you’ve seen is attributable to the higher number of hotels?
James Liang: When we look at the volume growth, we have two factors that needs to be taken into consideration. The second – the first one is the coverage of the hotels. So, our product team put consorted efforts to penetrate into every city we can get into where our travelers go to, to make sure our product has a full range of the coverage. The second element of the volume growth is how strong we can bring the new customers into our website or call center. These two types of equations are equally important. We needed the product to support the demand. We also need the customers acquisition to send these customers to our hotel business. Our hotel partners to make sure that we become a very valuable sales channel. So, it’s very hard to separate to say 41% of what’s the percentage due to coverage? What’s the percentage due to the custom acquisition, both sides are very critical for the volume growth.
George Askew – Stifel: Is there a number of domestic hotels that’s sort of a target for the company over – in the next year or two?
James Liang: In China, the hotel segment is very fragmented. So there is no official number that’s published, but I think for Ctrip as the second tier and third tier cities are being developed. Our team is penetrating not only from the first tier cities, but also in the state capital and their lower levels of the cities. So, everywhere that the customer goes into, we will have team to develop relationship with the hotels. So, we monitor lots of indexes such as GDP growth for region, the city, build out rate, the hotel build out rates to determine where we put our efforts on.
George Askew – Stifel: Okay. Thank you very much.
James Liang: Sure. Thanks.
Operator: (Operator Instructions). There are no more questions at this time and I will now like to turn the conference back over to Ms. Michelle Qi. Please proceed, ma’am.
James Liang: Thank you everyone for joining us on the call today. A replay of the call will be available as usual on the IR website shortly after the call is completed. We appreciate your interest in Ctrip and look forward to conveying with you again next quarter.
Jenny Wu: Thank you very much for your time. Bye, bye.
Jane Sun: Bye.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Good day.